Mariana Dutra: Good morning, everyone, and thank you for joining us at Gerdau's Third Quarter Earnings Release. I'm Mariana Dutra, Head of IR. Here, we have with us our CEO, Gustavo Werneck; and Rafael Japur, Gerdau's CFO. This webcast has simultaneous translation into English, and you can choose the language of your choice by clicking in the globe icon in the bottom part of your screen. During this presentation, all participants will be in listen-only mode and right after that we will initiate the Q&A session. Analysts and investors should also be on the queue by using the raise hand icon. All of the forward-look statements are beliefs from the company based on information currently available. Forward-looking statements do not -- are not guarantee of performance and depend on circumstances that may and may not occur. Now I would like to turn the floor over to Gustavo to begin the presentation. Gustavo, you may proceed.
Gustavo Werneck: Thank you, Marie. Good morning, everyone, and I hope you are well, and thank you very much for joining us for another earnings release call. We will briefly comment on the highlights of the quarter. And also, we will talk about the outlook for our operations. But this time, we will allow more time for the Q&A session. First of all, I would like to point out that we ended the third quarter of 2024 with an injury and accident frequency rate of 1.58. It's the best track record in the last 123 years. I reinforce our commitment to people's health and safety. And as you know, this has always been our priority. We ended the third quarter with an adjusted EBITDA of BRL3 billion, mainly reflecting the progress of our cost reduction initiatives and the optimization of our assets in Brazil. Even against the backdrop of an oversupply of steel on the world market and uncertainties in the global macroeconomic environment, Gerdau's shipments grew both quarter-on-quarter and year-on-year, underscoring the successful execution of our commercial and operating strategy. Speaking about Brazil, in particular, we recorded an increase in steel demand in the domestic market in the third quarter. Despite the improved domestic demand, our shipments remain impacted due to the excessive steel imports into the country, even with the mixed trade defense system called a quota tariff (ph) or a tariff rate. This has not bring about the expected results, and it should be constantly improved by the federal government. The monthly average of steel imports in the first nine months of 2024 was almost 80% higher than the historical average. We have seen with astonishment a large volume of imported steel entering through cities like Manaus, showing how steel is being rerouted to other regions of Brazil in order to avoid payment of the required import taxes. I will now turn the floor over to Japur for the financial highlights.
Rafael Japur: Thank you, Gustavo. Hello, everyone. It's always a great pleasure to be here with you in our earnings conference call. This quarter, we posted net income of BRL1.432 billion or BRL0.64 per share, a significant increase of more than 50% compared to the second quarter of 2024. In the same period, we had free cash flow totaling BRL3 billion. Almost BRL1.8 billion was due to the withdrawal of the judicial deposit for the lawsuit over the exclusion of ICMS tax from the PIS and COFINS calculation base. Excluding this event, free cash flow generation was approximately BRL1.2 billion, driven by a higher level of EBITDA, as Gustavo has mentioned, and a significant release of working capital in the period. This significant cash generation enabled us to end the quarter with a leverage of 0.32 times net debt over EBITDA, the lowest level in the last 12 months. Our strong financial performance was recognized by the main rating agencies, which raised the company's rating, reflecting the strength of our balance sheet. Regarding return to our shareholders, including dividends payout and share buyback year-to-date in 2024, we have a payout on net income of 55%, significantly above the mandatory minimum set out in our bylaws. By the end of October, we had executed around 57% of the buyback program, investing 700 -- more than BRL700 million, approximately 2% of the market cap of the company. We also announced the cancellation of approximately 77% of the shares that were repurchased by Gerdau S.A. Moving on to the next slide. I'd like to look at the evolution of our cost reduction initiatives. As we mentioned at the beginning of the call, they were very important to foster our results this quarter. On the left of the slide, we can see that in Brazil, we captured in this quarter BRL210 million in savings. Still, we believe that there are more opportunities, initiatives to be pursued until the end of 2024. In the other business divisions, we carried out most of the initiatives that were planned and some of the benefits in our view are already being fully captured and benefiting our results with the efficiency gains during 2024 makes us confident that we will achieve our guidance of starting the year of 2025 with BRL1.5 billion in savings versus the 2023 base. I now turn the floor back to Gustavo, and I'll join you during the Q&A session. Thank you.
Gustavo Werneck: Okay. Thank you. Thank you, Japur. I would like to emphasize that Gerdau is very well positioned to deliver solid results in the coming quarters and that we remain focused on cost discipline and capital allocation. In all the markets in which we operate, there will be the natural impact of the year-end seasonality. Here in Brazil, we remain very attentive to the unfolding of trade defense measures on steel imports. And we have a positive outlook for steel demand especially coming from the construction industry, whose GDP for 2024 is expected to grow by 4.8% driven by continued improvement in the real estate segment. For North America, we know that our steel shipments and prices will be temporarily impacted by the slowdown in economic activity, influenced by the presidential elections and the steel imports in the United States. A scenario that should be reversed during the first half of 2025. Well, with that, we thank you all for your attention, and we look forward to answering all your questions.
A - Mariana Dutra: Thank you Gustavo and Japur, now we will initiate the Q&A session. [Operator Instructions] So the first question comes from Daniel Sasson from Itau BBA. You may proceed, Daniel.
Daniel Sasson: Good morning. Thank you for this opportunity and congratulations for your excellent results, especially in the Brazil BD due to all of your efforts to optimate -- to optimize your assets and you got more reasonable margins. I see the results are much better than before so congrats on that delivery. My first question has to do with the U.S. BD, the North America BD. Gustavo, you were just referring to a potential impact in terms of shipments and prices in the U.S. in a shorter period of time. One of your competitors just announced a drop in prices early in this fourth quarter. So could you give me a little bit more color of how much of that comes from lower demand. And I think that led you to change the mix and to change your amount of rebars in your mix. So how much of that competition with imported goods in the U.S. could probably help you. I don't know whether you anticipate any kind of protection is measured now with the recent election of Trump to the presidency of the country? And my second question, maybe to Japur is whether you could tell us a little bit about capital allocation. You had a very strong cash generation even if you exclude the reversal of taxes. So maybe you could tell us a little bit about what's in your mind in regards to an optimal capital structure. Almost 60% of your buyback program was already concluded since it was initiated or if you think that may be with Trump's election, you would have a different mindset in terms of your investments in Mexico or you are still thinking about growing more specifically in the U.S. or maybe Brazil. Maybe you will decide to change the focus. I would just like to understand how this very strong cash position dialogues with investments or probably shareholder returns?
Gustavo Werneck: Well, thank you, well, Japur, let's split the answer. I will answer the first two questions, the first two topics. Well, first of all, Daniel, you talked about cost reductions. I would just like to say that this cost reduction and the search for greater efficiency that had a positive impact in our results for the quarter. They stem from a plan that I think I've been talking to you about in past quarters. So once we talk about these initiatives, all of them are based on very detailed plans. We don't want to talk about wishes or desires that are not backed by very detailed plans. So what happened is that we were very good at executing according to plan. And so this is what contributed substantially to our results in Brazil. Execution has been very efficient of the plan that we have talked to you in previous quarters. North America BD, in general, the results of the election will be quite positive for us. No matter where you look, especially if you look at the main -- the main point, certainly, Daniel, the results of the election will be more positive for us in North America. But what happened now prior to the election is that there was a lot of expectation in terms of what would be the final outcome when the polls would say that there would be a more fierce competition between the two candidates, clients and all of the business that work with us, were sort of apprehensive. And this affected demand in the previous months. And then that's why we made a decision not to reduce the use of our assets, especially the rolling mill. In order to maintain that, we place a larger amount of rebars in our production mix. This is a flexibility we have in the remaining mills after the sale of our main rebar assets to NMC. So we are making better use of our assets. And we think that even if the mix has a lower average profitability due to cost reductions it's still keeping a very high optimization of the assets. It's still very good for our business. But now we will analyze it in deeper details. What would be the speed of that rebound especially in terms of steel to our clients, we have to still wait and see what will happen in terms of a stronger rebound. We initially thought that this recovery will be slightly slower. Maybe this will change now because the results of the election were just announced. But all of the fundamentals of that steel segment with all of the federal incentive packages, they are in force, and they will be translated into important results. The issue is not whether we will -- there will be a recovery or not because it will take some time until we have a better idea of how fast this will occur. We were closely monitoring the elections. And I think that Japur has more to say about the outcome of the election. So Japur can now answer the part about capital allocation.
Rafael Japur: Hello, Daniel. Now, shedding some light to what Gustavo just said, when you -- we think about the results of the quarter, and we compare it with the data from the U.S. economy, we noticed that since June of this year, PMI is negative. It's below 50%. So this is an indication that demand, especially industrial demand, which is an important market for our merchant production in the U.S. was a bit slower, even before that the election process that was finalized today. And this is what impacted the prices of merchants in early October, and this -- the prices will be lower. This is what we will see in the coming quarters in terms of prices at the end and merchant prices represent a significant amount of the mix of products that we sell to the U.S. market. So taking into account these effects, we are projecting lower revenues in the coming months. Also, but when we look at imports, there has been an increase in merchant imports going into the U.S., and there's also impacted prices. Now speaking about the midterm, after this election period, we understand that after he appoints the main positions of this new administration. We believe that in the second half of next year, we will have a better outlook. And I'm sure the steel market will be more dynamic. And so this is our initial reading in regards to the outcome of the U.S. election. Now capital allocation, yes, I was going to go to that. Now when we think in terms of capital allocation, we are moving forward with our buyback program. We had already the opinion on the exclusion of ICMS from the PIS and COFINS space. So there were buyback executions. And I know that you monitor our reports on a monthly basis. So we started the buyback in September. Therefore, in two months of buyback between September and October, we invested in terms of shareholders' return, almost half of all the CapEx for the quarter. That means a significant amount. And this like year-to-date, in terms of dividends, we are -- we have more than 25% of payout of our net income. And we understand that as much as our shares are discounted vis-a-vis its peers and in terms of its intrinsic value, once our cash position remains robust, we can go on with our buyback program. And also, we can continue investing in CapEx, not only to generate short-term value which is the buyback but also in the long run with the projects that will pave the way towards our future. Our net debt for the long term has not changed. There is no significant change, but we just have to meet our short-term obligations and things related to interest rates and exchange rate and then that makes us just think about the best way to keep our balance sheet in terms of capital allocation in moments of higher volatility like this year. So thank you, Gustavo. Thank you, Daniel.
Mariana Dutra: Thank you. Next question from Mr. Correa (ph) with BTG Pactual. Go ahead, Leo (ph).
Unidentified Participant: [Multiple Speakers] How is everything going.
Gustavo Werneck: Hi. All good. WE can see you.
Unidentified Participant: Great. Good afternoon. I’ll stress leverage dividend and share buyback, Japur. We have received some questions about this earlier today. I think that the quality of the results is undeniable. There was improvement in the Brazil BD. Nothing to discuss that. You pulled out in the operational and some doubts regarding the pace of the buyback. The deleveraging was very fast in the quarter, numbers converging to 0.3 net debt over EBITDA ratio. That was a non-recurring event, of course, and this was this release of cash that you had. You mentioned that you started a strong buyback in September. So Japur, should we expect the space accelerating in the next few months particularly considering an operational scenario, which is a lot more balanced in the high cash position. So I'd like to get some color about the speed of the buyback program. A lot of people that we talked about earlier today. Well, they were a bit worried about a level that was below expected in the pace of the program. So that's the first point. Second point, well, still in Brazil, the Brazil BD, a notable improvement, EBITDA margin increasing from 1% to 7%, 8%. Some low levels, some quarters they go to very strong levels now. EBITDA margin about 17% in the Brazil BD. Of course, that's the result of all the in-house work you did. I'd like to confirm how much of the BRL1 billion in Brazil is already delivered. You could break down the percentage that we can analyze the evolution and where could the margin be in the next quarters? I don't know if you can share that, but we would like to understand what is the new level given a more normalized cost base. These are my two questions. Thank you.
Gustavo Werneck: Thank you, Leo. (ph). I’ll let Japur, answer both.
Rafael Japur: As regards share buyback and payout of dividends to shareholders, I'd like to remind you that we have a relevant distribution, considering dividends and share buyback, more than BRL2 billion year-to-date until the nine months of the year, we still have more to do until year-end. We have other obligations that we'll compete tactfully in our day-to-day operational regarding the amounts. There's presumable some small acquisitions and capital investments such as the acquisition of the scrap in North America, we have the closing last week. This is an investment of BRL600 million, give or take, about BRL350 million -- BRL340 million, $50 million, and this will consume cash. So we continue tactfully with other obligations, and we have to take all that into account in our execution. But yes, we do have the goal of continuing and completing our share buyback program. once complete. Our goal is to cancel these shares that we repurchased. We haven't canceled them fully because part of the sales will be used for our long-term incentive program. Once we complete the program, if the price levels remain substantially discounted with an enterprise value multiple below 4x as we have seen Gerdau trading in recent months. Of course, there's no reason why we would not reassess. No thinking specifically about Brazil. I'd like to ask for the help of my team to play the slide on cost reduction on the screen, please. So we try to maintain the same visual identity to facilitate you following the initiatives. In the past quarter, we mentioned that BRL150 million have been captured in terms of cost reductions. In this third quarter, we advanced more. We captured another BRL210 million and these are reductions of costs and expenses in our results. We estimated about BRL400 million in Q2 so more than 50% of what we mentioned to capture in the second half of the year has already been captured in the third quarter. So we understand that this is a good pace to capture these BRL415 million, fully still in 2024. And of course, since we start doing this in the beginning of the year, but of course, they build up along the year. The cost base will only be fully captured when we annualize the savings and the gains that we're capturing today. In Q3, captured gains will be realized at the 50% or 25% because we only have one quarter to go. But when I run the whole 2025, with this lower cost base, that is when we're going to fully capture this reduction of having a base of costs and expenses, BRL1 billion lower in 2025 compared to the base in the end of 2023. Basically, this is where we stand in terms of capturing all of these benefits. We don't think, though, that we are going to have significant margin expansion in the coming quarters in the Brazil operation because traditionally, that's a period of higher seasonality. We have the holiday season coming up. And of course, this will impact our results, just like annual maintenance downtime that we have both in Brazil and in North America.
Gustavo Werneck: And just to add to this detailed explanation by Japur, we will continue to pursue efficiency gains and cost reductions. The market continues to be very fierce. There's this theme about steel imports, which is not resolved. Trade defense measures that have not been as effective as we expected. At the same time, the other opportunities can arise next year. So we are in this journey of reducing the Ouro Branco capacity, which is secured for exports. But on this journey, look, things will take time. And perhaps opportunities will arise next year, perhaps to grow a bit the volumes, the exports to shipments. We have the new phase of the hot rolling mills with adding many more tonnes. So other factors that may contribute next year delivers more positive margins. But still, I'd like to say that in terms of profitability and revenue, there are some challenges to be overcome regarding imports, okay?
Unidentified Participant: Excellent. Thank you very much gentlemen.
Mariana Dutra: Thank you, Leo (ph). Next question from Marcio Farid with Goldman Sachs.
Marcio Farid: Thank you, all. Gustavo and Japur, thank you for your time. I have two questions about the two primary markets of Gerdau. I think I have a little bit of lagging sound. First, in the U.S., a very specific question and that we have been debating a lot among the investors which is related to the spread of structural beams and merchant bars compared to rebar. Historically, this was very low, maximum $50 and now it's at $200, $300 premium and so what we are wondering is whether the spreads -- if the spreads are structural beams that go back to the price in the past. This will have a significant pressure on margin. The question is, will the press go back? And if not, will that change structurally to leave the spread higher longer? And also regarding Brazil, I think you spoke a little and [indiscernible] a lot about the levels of -- very high levels of imports from China. In China, achieving new exporting records last month. We saw some attempts in the last 12 months of trying to kind of stop some of these imports. But I'd like to understand -- where are we in this topic? You were more vocal in the beginning of the year, Werneck regarding the need to bar these imports we saw some tariffs coming to the market that sincerely, we cannot understand how they're helping the market. And it seems to be temporary. It seems that there are antidumping discussions also happening so give us an update of where we stand. What kind of push has been given by the industry in this exchange rate scenario, could we think about a more controlled scenario in terms of profitability and price. Thank you.
Gustavo Werneck: Thank you, Marcio. I'll start with China. And Japur, you will remember to speak about the exchange rate environment that Marcio mentioned, and you speak about the spreads, too, okay. But I'll start Marcio with China. Let’s start saying that any debate about stimuli (ph) by the central Chinese government to their economy, etc., etc.. None of that will reduce the level of exports. It is an illusion to think that stimuli for civil construction will increase domestic demand for steel in China. This is not going to happen. Whatever they had to build in terms of infrastructure, residential and office buildings, all of that have been built. They will incentivize the Chinese population using what has already been built. So we have no illusion that this level of exports from China in the next 10, 15 years, what we reduced. We are not only ourselves. We are not considering this as a possibility. In fact, China will continue to export. Their surplus capacity is brutal. The 4 million tons that Brazil consumes in rebar in China has a capacity of 400 million tonnes, 100 times more these volumes will continue and we'll continue penetrating the market in an unloyal way. So this is a reality that we'll need to face. And this has to do with the effectiveness of the trade defense measures and mechanisms that have been adopted to date. It took 12 months to 18 months for the government to adopt the first trade defense measure this mixed tariff rate quota system. There was a public speech by both parties, both the federal government and the steel industry that after four months, a check would be conducted with analyze effectiveness of the mechanisms. And in the last four months, it was shown that the mechanism was not effective so far. This mechanism needs to be urgently adjusted. And I would say more deeply so that it can be effective in reducing the unloyal arrival of steel in Brazil. So this is a moment of debate with the federal government. In our point of view, this mechanism should suppress this 30% extra volume that arrived. This should end. You should consider just the average imports that we always had in Brazil, more specifically this time window that was considered from 2020 to 2022 and suppress this 30%. We believe that 25% is not sufficient, they need to increase the tariff rate. We believe that these 11 plus the four NCMs, it's too little. It should include the whole array of steel products that are competing in an unloyal way. We have been more formal with the federal government, so that they can understand in depth and to tell them about this increased input of steel via Manaus. Manaus has tax benefit are importing still for local processing. And we were really scared by this growing imports of steel via Manaus in the 4 months of the trade defense measures and that was frightening. We ask the federal government to understand this talk about this. I understand if this is abiding by the law. So that's the moment right now. Have to debate this more intensely, understanding that the entire dumping processes are not fast enough to bring us the defense that we need. This will take 18 months to 24 months to take effect, and we need more urgent measures. The most difficult part, which was to adopt a trade defense measures, this was done, but it needs to be fine-tuned so that we can handle more significant reduction in this volume of exports from China. So that we can continue to have our production capacity in Brazil available to meet the domestic market demand, Japur, you want to add to that and then speak about the exchange rate and spreads?
Rafael Japur: Talking about the exchange rate, overall, 20% to 25% of Gerdau costs in Brazil are in dollars and about 10% to 15% of our revenue is in dollars but most of our local prices depend on the exchange rate given parity rate. So to us, higher dollar price. When you think about the average price of dollar. Last quarter, we had a dollar that is now 5% to 6% above the average dollar price in Q3. So it's 5% to 6% more competitiveness of the Brazilian product vis-a-vis imported ones. So that's an important driver for volumes shipments and exports in our domestic competitiveness. I'll go back to your first question about the difference in spreads, also that objectively, a number of factors can be taken into account. But it is important to remember the dynamic of supply and demand for the different products. if we trace a time line of the main investments in steel capacity expansion in the U.S., essentially, it was for flat. So minority prolongs. But of what is being done for long steel expansion. Basically, what we have is tonnes and rebar capacity being produced in the United States. We have very little or practically no investment no greenfield investment in merchant bars and structurals. So this is one of the factors explaining this in terms of supply and demand and why we have a difference rebar is a more competitive and merchant bars and structurals with more differentiation right now, which translates into a higher price power in terms of the producers of structurals and merchant bars. The second factor, which is more long term, is that we felt significant pressure from inflation on labor in the United States from 2020 onward to date after the COVID pandemic, higher added value, industrialized products like structural and merchant bars which increased productivity and the speed of execution of nonresidential construction projects, they end up getting a premium and even higher value vis-a-vis rebar which requires more manual work, more people working in the construction site. I think these 2 factors help us explain why -- is it that we're having a differentiation in price of rebar in structurals and merchant bar higher than in the past, which reinforces how assertive was our strategy to focus on these two products in our road map and in our portfolio of assets in the North America BD.
Marcio Farid: Super clear, Rafael Japur. Thank you very much.
Rafael Japur: Thank you, Marcio.
Mariana Dutra: Thank you, Marcio. Our next question is from Rafael Barcellos with Bradesco BBI. You may proceed.
Rafael Barcellos: Hi, Mari. Thank you. Hello, Werneck and Japur. I hope you are well. You can hear me? I have two questions. Well, the first question is on the U.S. market. And I would like to hear more about your short-term view. I would just like to understand how do you see this results trajectory, especially looking at the fourth quarter and whether it would make sense for us to believe that the fourth quarter should be worse in terms of margins. And that maybe throughout the year 2025, margins will become more stable or even they could improve. And maybe to put this question into a context, in the last few weeks, we've heard some news about a $30 increase on rebar prices in the U.S. and I would just like you to comment on that piece of news and eventually, what would be the unfolding of that? And what will be the impact for merchants? Now on the Brazilian market, participants complaining about the increased entry of Egyptian rebars. Could you talk a little bit about the domestic market? I know Werneck, you already talked about that. But I would just like to understand whether things are worsening or this is just a seasonal fact that happens in the fourth quarter. I would just like to get a better feeling about the market or whether this would have an impact on prices and still talking about Brazil. I would like to hear more about profitability. I know that you've been doing some excellent work in terms of cost reduction and optimization. But you also said that next year, we believe that there are other opportunities to improve profitability. But are there other initiatives in your road map in addition to the ones that you have already announced or it will be something more related to the market itself?
Gustavo Werneck: Okay. Japur, now you start talking about the U.S. and then I will do the follow-up on Brazil.
Rafael Japur: Well, short term, usually in the fourth quarter, there is seasonality, especially because in the U.S., there is an issue of climate and the holidays like Thanksgiving, Christmas, and the New Year. And usually, there is a reduction between 5% to 10% in the fourth quarter vis-a-vis the other quarters of the year. So naturally, there is a lower operating leverage. And this year, there was -- there is an important maintenance shutdown in our mid-low mill. Not only we have the maintenance shutdown, but also investments that we are doing in our productivity for the long run. And this should also impact our profitability in the North American BD in the fourth quarter. In addition to that, we have the reduction in merchant prices that occurred early this quarter in early October. And in our view, this will have an impact on Gerdau’s. I mean in North America consolidated figures because merchant has a larger weight in our portfolio. We don't think that it will be a full impact of that $120 but we think that, that's an important part of that $120 because that corresponds to discounts that have already been in place. So with that price reduction, they will not be in place anymore. So the net reduction will be lower than that. So we estimate that in the consolidated would be between $25 to $35 depending on the mix. But naturally, we anticipate a pressure -- a competition pressure given all of these factors. But we remain very optimistic looking to 2025 and the possible unfoldings from the Trump's new administration and a possible rebound of the U.S. economy. We were saying that PMI since July has been in negative territory, but we believe that this should reverse once we go over the end of year seasonality period. Now in terms of one-off price moves, we understand that price moves for rebars in North America are more related to short-term moves of scrap prices. So there was a change in metallic spread vis-a-vis what we had in October. So basically, this is just a tactical adjustment in terms of rebar spreads in the North America region. And Rafael now speaking about Brazil you mentioned something very correct, and that is about the Egyptian rebar. I wasn't so vocal about that as much as I was about Manaus. Brazil has a bilateral agreement with Egypt. It is just understandable that there should be an increase in rebars coming from Egypt. I mean China is exporting looking for other markets. Therefore, it's just natural. There are other countries like Egypt and Vietnam, they are exporting a little bit more into to the U.S. and Mexico. They may look for other markets. Eventually, we would see rebars coming through Santa Catarina because of ICMS exemptions. We don't think there will be a continuous flow of rebar inflows, but it will continue to come. Unlike Manaus, nobody saw that coming. Therefore, we're already factoring that in. We are already considering that entry. But it won't be substantial enough to complicate the industry of our concrete in Brazil. So -- of reinforced concrete in Brazil. Now we are seeing rebar and other products related to reinforce countries. For next year, we understand that in general, next year will be better for the market in general in relation to what is happening this year in 2024. And not only because of market factors that you mentioned. We already have initiatives -- other initiatives to reduce costs even further. We are not going to shut down any of our assets with [indiscernible] state of Sierra, our production capacity is in tune with the market reality. So we will not see major initiatives like that. And you also talked about the plan. It's part of our plan for next year to go on and seeking for opportunities with raw materials like ore, light energy and other things. We will pursue initiatives that can give us additional profitability. And this will come just from market -- the market scenario. I mean, the demand will continue to be very sound. Therefore, our general view in Brazil, even with the entry of Egyptian rebar in all of the other points that we already mentioned, I think we will be able to increase our profitability in Brazil in 2025 when compared to the average of 2024.
Rafael Barcellos: Perfect. Thank you, Werneck and Japur.
Mariana Dutra: Thank you, Rafael. Our next question is from Caio Ribeiro with Bank of America.
Caio Ribeiro: Thank you. Good afternoon and thank you for this opportunity. I would like now to talk about special steels in South America. It's very clear that in North America, there was a great -- I mean, North America will benefit from the results of the elections. I mean, infrastructure, reshoring, etc. Could you now comment about this dynamic with special steels. We've seen a very healthy demand in Brazil mainly due to the production of heavy vehicles. But maybe we -- you could give me some color about what you expect -- looking at the demand in the U.S. based on the results of the elections. In South America, the margin in the past quarters has been flat around 16% that considering higher levels of over 20%. So could you give me some color about what is the expected level or what kind of level you believe to be sustainable? And whether you have some cost initiatives that could be adopted for that division that could probably stir up more changes in this area.
Gustavo Werneck: Okay, Caio, I think I can answer both of your questions. Starting with special steels and more specifically referring to North America. I think that in the U.S., unlike Brazil, where an important part of our production is earmarked for heavy vehicles, in the North American market, our production is earmarked to light vehicles. And this sector is very much dependent on affordability. I mean people -- can people afford to pay for their vehicles. And this is related to a reduction in interest rates. And this is something recent that we're beginning to see in the U.S. Therefore, we understand that 2025, considering how Trump's administration that will try to boost local production with near-shoring and on-shoring. In our view, there should be an increase in demand in the short term as interest rates start coming down, especially for end users of vehicles. And also, this will bring more incentives to increase local production of vehicles in North America. Now looking at South America. I would just like to add something about the U.S. This is my thesis. I think that the hardening of the trade agreement between Mexico, Canada and the U.S. will also hold on the -- we'll also probably try to restrict the entry of auto parts because today, especially for replacement parts, they are coming through Mexico, but from Asia. So with the tightening of this trade agreement and there is a review to that agreement coming in 2026. So in my view, the entry of auto parts will be lower. And this -- on the other hand, will lead us to increase demand in the U.S. for our auto parts. I mean this is my thesis, and I think this will come to benefit our business with the recent outcome of the election. Okay. Speaking about South America, I think it's important to remember that in this first quarter of 2023, we divested from the joint ventures we had in Colombia in the Dominican Republic because they came as -- I mean equity equivalents, our EBITDA was stronger in South America because there was a very relevant part of EBITDA that came from that shareholders' equity. So we started the year without that comparison, without that revenue impacting our results. The result was without the cash and cash equivalents. So we understand that the margins should vary between 15% to 25% in the long run. The equity -- because of equity income, especially because of our unit in Argentina. So the market has been more difficult in view of everything that we are seeing in the Argentinian economy because they are reducing expenses and they are adjusting the economy to this new inflation level and major actions to adjust the economy. But in the short run, this means that there is a reduction in our shipments in Argentina, and that varies between 40% to 50% in terms of tons or shipments vis-a-vis what we delivered last year. And it's very difficult for you to keep excellence and good cost once you have lower shipments. But we understand that's in the midrange, this process should go back to normal, and we will try to mitigate these measures through efficiency gains.
Caio Ribeiro: Very good Japur and Werneck
Gustavo Werneck: Thank you, Caio.
Mariana Dutra: Thank you, Caio. Next question from Ricardo Monegaglia with Safra.
Ricardo Monegaglia: Hello. Thank you for the opportunity. I have two value objective questions. One about the cash flow, which was a positive surprise even excluding the withdrawal of that deposit. So I'd like to spot two things, working capital? How can we think about the performance of this line item in the next quarter, the next few quarters considering that there was a reduction in the cash conversion cycle in this quarter. And then about the level of tax, which was way lower than expected in this quarter. So I just wanted to get a sense of what happened. Was there a different seasonality of payment in this quarter, anything specific? And how should we think about the reversal of the specific factor if any? So we can have an idea of how the free cash flow, why not all evolve in the next quarters? Second question. Going back to the United States [indiscernible] impression. But the message in the call of the second quarter was that July was also a good month in terms of profitability in the U.S. operation. So could you give us any color regarding the magnitude of margin deterioration along the quarter. So we can understand whether we'll start to Q4, the better level than we were expecting. We can have an idea of the evolution of the margin. Thank you very much.
Gustavo Werneck: Okay, Ricardo. Thank you. Over to you, Japur.
Rafael Japur: Regarding free cash flow, we expect to have a release of working capital in Q4, given the typical seasonality of the year. Lower volumes lead to a reduction in working capital. And we understand that from the standpoint of operating cash flow, this will be good for our cash generation in Q4. On the other hand, in Q4, typically, it is a period that given maintenance stoppages, that's when we have the highest disbursement of CapEx. I'd like to remind you that we have a guidance of about BRL6 million in CapEx this year and we had done about BRL300 million to date in CapEx, that's what's been released. So there might be more CapEx disbursement expected for Q4 this year. When we think specifically about taxes paid, there is one specific detail. Since we operate in different countries in terms of result, we analyzed result quarter-by-quarter, but the effective payments of income tax in particular, take place in different moments in different countries. And also the tax at companies, they get back for those payments happen at different moments. So we will make the payment of our bonds for income tax is always difficult though to know exactly when payments or institutions will take place because every country has different moments for that. Normally, in the second half in April, we have a greater payment of taxes in North America and another high payment in the end of the year. And in the rest of the year, we don't have such great payments in North America regarding payment of taxes.
A - Mariana Dutra: Thank you, Ricardo. Next question is from [indiscernible].
Unidentified Participant: Hello. Good afternoon. Thank you for taking my questions. How are you doing? All good. Well, I have some follow-up questions, one on North America and one on the Brazil operation. But Japur, regarding North America, perhaps you could give us a better idea of the impact that we saw of this adjustment of the value of inventories. And also thinking about the cost structure in North America for the fourth quarter. If you can be very clear the effects expected in terms of volume and price for Q4. But Is there anything we should pay attention regarding costs. There was an additional cost in Q3 related to downtime and also devaluation of inventories. We want to try to understand that better. But is there anything for Q4 that we are not considering, that we are not mapping that we should keep in mind in terms of the cost structure for Q4. So that's the U.S. And looking at Brazil, the scenario seems more positive when we look at the demand for longs less impacted by the imported volume, although it was this acceleration of rebar from Peru and Egypt. But I'd like to understand how you see the capacity of the industry. We have seen some increases amongst and is this something that you see as a risk for 2025 or is this gradual with less impact. But this increased industry capacity is something we would like to hear you talk a little about so we can understand 2025.
Gustavo Werneck: Japur will speak about inventories. But let me see if I understood your word that we are not going to have capacity to meet the demand of the industry. We want to understand the cost impact in terms of the reassessment of the value of inventories that we had in Q3, the impact on the margin to understand how to forecast looking forward. But in the second question about Brazil, the impact of capacity increase from your competitors, not from Gerdau.
Unidentified Participant: Okay, understood.
Gustavo Werneck: Typically, in some specific products, when prices drop faster than cost, we have to attest every quarter in terms of the net value realization comparing the price I have in my product and the price I have in my inventory. It was not a representative impact to explain the lower margin of the product. This is how we do the accounting of our inventories in the value of our products. It should not affect materially the result in Q4. What, however, can impact our costs and our operating leverage structure in the coming quarter is the typical seasonality we have in the period, as I mentioned before, 5% to 10% less volumes typically in Q4 when we look at the historical series and when we compare the shipments and volumes delivered. Typically, that's the level of oscillation that we see. In addition, we have some maintenance downtime in particular, significant stoppage at [indiscernible] and a part of these expenses with downtime will have an effect on our results and will put a little pressure on our competitiveness. At the same time, we realized that from the standpoint of raw materials in recent months, the cost of scrap was lower than we had in the first half of this year, and we understand that along Q4 part of this benefit of a cheaper scrap, which is already in our inventory should also translate into a variable cost of metal that will be lower in Q4 compared to what we had in Q2 and Q3. Lucas, talking about Brazil. Your concern about coil demand for 2025 is not a concern for us. In terms of new capacity for us. We have 250,000 tonnes of cold hot-rolled strips or hard rolled coils starting in January. And we're very safe that this additional volume will be delivered to our captive customers, our direct customers through direct delivery of the mill of via Gerdau commercial department. So we have no concerns about that. And we believe that the capacity for loans will be balanced. There are some marginal capacities being added. But we have heard that players are postponing some projects of theirs. So we have to think about the imported product. If that continues to grow, that can impact the whole equation. Put it differently, the growing demand for longs. If it is going to be supplied by imported products, if the imports remain as they are, then we will continue to have this difficulty that we have been facing in recent months. But overall, that's not a greater point of concern for us. Thank you, Lucas.
Mariana Dutra: Next question from [indiscernible] with Morgan Stanley.
Unidentified Participant: Good morning, Gustavo. Good morning, Rafael. Thank you, Mari. I have two questions for you. One is about the minimum level of cash that you would like to have in the balance sheet. The cash increased this quarter. There was an important inflow. So I just want to get a sense of the level you would like to have on future looking forward. And what kind of level of leverage you feel comfortable with. The leverage is very low for the company right now. I'd like to understand what is the expected level for the next three quarters. In this regards to South America BD, do you have any different outlook than what was explained in the Investor Day in this month after the Investor Day, has anything changed in each one of the countries? Thank you.
Gustavo Werneck: Thank you, Virginia (ph). I think that as regarding to our optimal capital structure, there is no structural change at this point. we might revisit this given this greater fluctuation in the exchange rate in the second half of the year, considering that we had growth [indiscernible] at BRL12 billion and the cash of about BRL6 billion. At that time, we had a dollar rate about BRL394. Now it's a totally different reality. Of course, we have a new reality for the company as well. But at this moment, we are not making changes regarding our target cash structure. In terms of leverage, we have a limit, not more than 1.5x net debt over EBITDA, and we are way below that level right now. I'd like to remind you that this is not a target of leverage. But the top level, the maximum, given our discipline for the approval of CapEx in disbursements for our obligations. Moving on to the second question about South America. I don't think that there was a significant change regarding what we presented in the Investor Day for South America. We do have a slower, more gradual resumption in the level of activity of the economy in Argentina. And in September, we already saw some signs of a faster resumption of the Argentine economy better compared to prior quarters. But we realized that in the rest in Q3 but this is going to be a recovery of the construction sector and other sectors that consume steel recovering more slowly than we expected initially.
Mariana Dutra: Our next question from Igor Guedes form Genial. You may proceed.
Igor Guedes: Good afternoon. Well, thank you for taking my questions and congrats on your results. We've seen your strategy to earmark your shipments to Brazil BD. And in the past, you said that this would happen right now in the third quarter, mainly because the exchange rate is more favorable. So you would then focus on exports. And now with Trump's election, the exchange rate is higher today. And today, things in Brazil are not very good, our domestic market is not very good. Therefore, maybe we should expect an exchange rate to be higher in the coming months. Should we consider the fact that you would also increase your exports in your fourth quarter and into 2025? And if yes, what kind of mix of products you would think that you would export and you would have a mix with higher added value or you would also focus on semi-finished. My second question, again, speaking about the exchange rate, and I know that Japur already talked about that when he answered from Farid’s question. But I would just like to get a bit more details about the exchange rate impact on costs. Maybe a higher exchange rate could favor a risk downside to reduce costs on the Brazil BD or is there a very specific reliance on dollar-denominated inputs in your cost structure. We know that some mills are very dependent on slips from third parties. And the exchange rate has impacted industry in general. So is this your case or what kind of inputs would have would be higher -- I mean, more impacted by this higher exchange rate.
Gustavo Werneck: Well, to answer your question, I mean, I will talk about costs later on, but we can get more details from our IR team, especially when we look at our modeling guidance, and you get more details. But let me just answer your question about exports. We had a significant volume of shipments this quarter for exports as we mentioned before, especially given what we indicated last quarter, we understand that at this dollar level, we are beginning the quarter with an exchange rate, which is 5% to 6% higher than what we had last quarter. Therefore, we are better positioned to be more competitive with experts. We are, at the same time, reducing our costs vis-a-vis what we have in the second and third quarters, and we have a better exchange rate that favors exports. That's why we do understand that there is still room for us to grow our exported volumes from Brazil. And given that, maybe we will export more flat or products with higher added value. This is a concrete possibility given this new exchange rate. And maybe we thought at first that this will be transitory, but today, taking another look at it, we think that this will be the case for long. Now referring to the cost structure. Within our Brazil BD, the main inputs we have that are denominated in U.S. dollars are iron ore because we buy back from third parties. Eventually, it's not paid in dollars. But pricing has to do with the international price of our iron ore. So it is a tough -- it is dollarized, even though we do not charge it in U.S. dollars and the imports of metallurgical coal. And we do -- we have to buy that to do the clearance of import. So this mix if you think in terms of how much production that we have from our integrated plants and plants that are scrap-based, about 25% of our costs are "denominated" or paid in U.S. dollars. Now when we think of our program to reduce costs and expenses, we usually say that these are expenses and costs that are controllable. So everything that refers to maintenance costs, fixed costs, consumption of very specific materials. We can control all of that through our efficiency and competitiveness. And so all of that is factored into this calculation. But variations of scrap, iron ore and coal is not part of that savings or cost and expenses of about BRL1 billion that we project for the Brazil BD for 2025 when compared to 2023. Therefore, we do not understand that a higher exchange rate could eventually pose a risk to our competitive efforts in our BD -- Brazil BD. So if you have other questions, you can do a follow-up with our IR Team.
Igor Guedes: Thank you, It’s very clear. Thank you. Thank you, Japur. Marie?
Mariana Dutra: Thank you, Igor. Thank you, everyone. And with that, we conclude our Q&A session. I would like to thank you all for joining us, and I'll turn the floor back to Gustavo for his final remarks.
Gustavo Werneck: Well, thank you, Marie, for organizing this earnings conference call. And on behalf of Japur and myself, I would like to thank you again for joining us. It's always a great pleasure to talk to you. And I would like to take this opportunity to invite you to our next results video conference for the fourth quarter of 2024, which will be held on February 20, 2025. Thank you all very much, and take care.